Operator: Thank you for standing by, and welcome to the Armlogi Holding Corp. Fiscal Year 2025 Earnings Call. Please note that today's call is being recorded. I will now turn the meeting over to Matthew Abenante, Investor Relations for Armlogi Holding Corp.
Matthew Abenante: Thank you, and thanks to everyone joining us today for Armlogi's earnings conference call to discuss the results of fiscal year 2025. Please note that our earnings press release was issued earlier today, along with our annual report on Form 10-K, which was also filed with the Securities and Exchange Commission. Both are available in the Investor Relations section of our website at ir.armlogi.com. Joining us on the call today is Aidy Chou, Chairman and CEO of Armlogi; and Scott Hsu, Chief Financial Officer. The format of our call will consist of brief comments, followed by a question-and-answer session addressing the questions submitted by investors. We thank everyone for submitting these questions. Before we begin, I will review the safe harbor statement. Please note that today's discussion will contain forward-looking statements. Additionally, from time to time, we or our representatives may make forward-looking statements either orally or in writing. We base these forward-looking statements on our expectations and projections about future events, which we derive from the information currently available to us. Such forward-looking statements relate to future events or our future performance, including our financial performance and projections, growth in revenue and earnings and business prospects and opportunities. You can identify forward-looking statements by those that are not historical in nature, particularly those that use terminology such as may, should, expects, anticipates, contemplates, estimates, intends, believes, plans, projected, predicts, potential or hopes or the negative of each of these or similar terms. In evaluating these forward-looking statements, you should consider various factors, including our ability to change the direction of the company, our ability to keep pace with new technology and changing market needs and the competitive environment of our business. These and other factors may cause our actual results to differ materially from any forward-looking statement. Forward-looking statements are only predictions. We are not obligated to publicly update or revise any forward-looking statements, whether as a result of uncertainties or assumptions. The forward-looking events discussed on this call and other statements made from time to time by us or our representatives may not occur, and actual events and results may differ materially and are subject to risks, uncertainties and assumptions about us. And with that, I would like to hand the call over to Aidy Chou, Chairman and CEO of Armlogi. Good afternoon, Aidy.
Aidy Chou: Good afternoon, Matt, and thank you, everyone, for joining us today. Fiscal 2025 was a year of significant growth and strategic investment for Armlogi. Despite navigating operational challenges and cost pressures, we achieved strong revenue growth, reflecting standard demand for our comprehensive supply chain solutions. Our -- expanding our warehousing footprint and customer base to position the company for long-term success. As a U.S.-based warehousing and logistics service provider, we continue to support cross-border e-commerce merchants and domestic customers with one-stop services, including custom brokerage, transportation, warehouse management and order fulfillment. Our 10 warehouses spending approximately 3,905,020 square feet across the U.S. are equipped with advanced system for handling bulky items, and we maintain a high standard including ISO 9001 compliance and an average inventory accuracy of 99.64%. I remain confident that our expanding footprint, technology platform and growing customer base position us well to capture future opportunities. With that, I will turn the call over to our CFO, Scott Hsu, for a close look at the numbers.
Sheng-Kai Hsu: Thank you, Aidy. Now let's turn to our financial performance for the fiscal year 2025. For a detailed breakdown of our financial results, I encourage you to refer to our earnings press release and our Form 10-K, both of which are available on our Investor Relations website. My comments here will provide a high-level overview. For the fiscal year end June 30, 2025, total revenue reached $190.4 million, an increase of 14% compared to the $167 million in fiscal year 2024. This growth was largely driven by the continued demand for our transportation and warehousing services as well as a more than fourfold increase in our active customer base to 505. Cost of sales for the year were $193.4 million, representing a 29.9% increase. These higher costs were primarily due to increased freight costs from our carriers as well as higher rental, labor and warehouse expense associated with the expansion of our operation footprint. This impacts our gross profit, resulting in a loss of $3 million for the fiscal year. We are actively implementing measures to improve efficiency and profitability. General and admin expenses totaled $14.7 million, representing a 47.2% increase from the previous year, primarily due to the investments in support of our growing operations. This resulted in a net loss of $15.3 million for the fiscal year or $0.37 per basic and diluted share. We ended this year with a solid balance sheet, comprising $13.6 million in cash, cash equivalents and restricted cash. Looking ahead, our focus is on optimization of the operations, leveraging our technology to drive efficiency and broaden the cost management. We are confident that our expanded infrastructure with 10 warehouses across the U.S. positions us well to capitalize on future opportunities in the cross-border e-commerce market. We remain committed to our growth strategy and to creating long-term value for our shareholders. With that comprehensive financial overview, I will turn it back to Matt for the questions.
Matthew Abenante: Thank you, Scott. We will now move to the question-and-answer portion of the call. Thank you to everyone who has submitted questions. What do you see as the main drivers of revenue growth for fiscal year 2026? And are there any new contracts or customers expected to have a material impact on results?
Sheng-Kai Hsu: Thank you, Matt. Thank you for the question. For fiscal year 2026, we anticipate revenue growth to be primarily driven by continued demand for our comprehensive warehousing and logistics services, particularly from cross-border e-commerce merchants and our expanding U.S. based customer base. Key factors include the operation of our 10 warehouse network, which provide around 3.9 million square feet of space equipped for bulky items and our focus on diversifying our customer mix beyond PRC-based clients who accounts for around 84% of revenue in fiscal year 2025. We are actively pursuing the growth strategies outlined in our annual report, including expanding our geographic coverage and enhancing our technology platform, such as on large order management system to improve efficiency and attract more clients. While we do not disclose specific contracts, we anticipate receiving contributions from the new customers in both domestic and international market. However, no single new contract is expected to have a material impact on our results in this time.
Matthew Abenante: When does management expect the company to achieve consistent profitability and positive free cash flow?
Sheng-Kai Hsu: This is an important question, and we appreciate the focus on our path to profitability. We are implementing the measures to address these issues, including operational optimization, cost management and diversification of carrier relations to mitigate the industry-wide pressures. While we do not provide specific guidance on time lines, we expect to see gradual improvement in margins as our expanded footprint reach the full utilization and the efficiencies from technology investments take hold. Consistent profitability and positive free cash flow are key priorities, and we anticipate progress to this growth in the coming fiscal years, assuming stable market conditions and the successful execution of our growth strategies. We will continue to monitor external factors such as the trade policies and inflation, but our broad investment approach positions us well for the sustainable financial health.
Matthew Abenante: How concentrated is revenue among your largest customers? And how does Armlogi plan to differentiate itself from larger logistics competitors or regional operators?
Sheng-Kai Hsu: Customer concentration is a key consideration in our industry. In fiscal year 2025, one customer accounting for around 10% of our revenue, down from the fiscal year 2024 when 2 customers representing 20% and 12%, respectively. This reflects our ongoing efforts to diversify our customer base, which grew from 105 to 505 active customers over the year with a mixed PRC-based and U.S.-based clients. To differentiate from the larger competitors and the regional operators, we leverage our competitive strength, high-quality ISO 9001 compliant services with 99.64% inventory accuracy and 24/7 multilingual support, reasonable fees enabled by high-volume processing and long-term carrier agreements, advanced technologies like our cloud-based OMS for efficient order management and an experienced management team with a decade of industry expertise. Our focus on bulky item handling, one-stop solution for cross-border e-commerce and nationwide warehouse coverage position us uniquely to serve niche needs that larger players may overlook. Our agility enable us to outpace regional operators in terms of scalability and innovation.
Matthew Abenante: Thank you to everyone for participating in today's call. We look forward to providing additional updates in the near future. In the meantime, you can reach us at info@armlogi.com or contact me directly at matthew@stategic-ir.com. Thank you.
Operator: Ladies and gentlemen, that concludes our conference for today. Thank you for your participation, and you may now disconnect.